Operator: Welcome to the Cipher Pharmaceuticals Quarterly Conference Call for the company's Q2 2025 results. [Operator Instructions] As a reminder, this conference is being recorded today, Friday, August 8, 2025. On behalf of the speakers that follow, listeners are cautioned that today's presentation and the responses to questions may contain forward-looking statements within the meaning of the safe harbor provisions of the Canadian provincial securities laws. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are implied in making forward- looking statements and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that could cause results to vary, please refer to the risks identified in the company's annual information form and other filings with the Canadian regulatory authorities, except as required by Canadian securities laws. The company does not undertake to update any forward-looking statements. Such statements speak only as of the date made. I would now like to turn the call over to Mr. Craig Mull, Interim Chief Executive Officer of the company. Please go ahead, Mr. Mull.
Craig J. Mull: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to Cipher's quarterly conference call for the company's Q2 2025 results. [Operator Instructions] As a reminder, this conference is being recorded today, Friday, August 8, 2025. On behalf of the speakers that follow, listeners are cautioned that today's presentation and the responses to questions may contain forward-looking statements within the meaning of the safe harbor provisions of the Canadian provincial security laws. Forward-looking statements involve risks and uncertainties, and undue reliance should not be placed on such statements. Certain material factors or assumptions are implied in making forward-looking statements, and actual results may differ materially from those expressed or implied in such statements. For additional information about the factors that could cause results to vary, please refer to the risks identified in the company's annual information form and other filings with the Canadian regulatory authorities. Except as required by the Canadian securities laws, the company does not undertake to update any forward-looking statements. Such statements speak only as to the date made. I'm sorry, I shouldn't have repeat it all that. Again, good morning, and thanks for joining us. Before I begin, I would like to remind everyone that all figures discussed on today's call are expressed in U.S. dollars, unless otherwise specified. Cipher's second quarter of 2025 yielded the highest earnings quarter for total net revenue in Cipher's history. This was achieved by strong performance from the U.S. Natroba business that exceeded our initial expectations from acquisition of the business 1 year ago, combined with Cipher's base business performing slightly ahead of the same quarter last year. First, I'd like to spend some time on highlights from the U.S. Natroba business. Revenues were $7.8 million during the second quarter of 2025, which was ahead of our expectations when we acquired the business a year ago in July 2024. Given the seasonality of the product and the second quarter demonstrated a lead up to the higher demand warmer months of the year, and therefore, sales in the quarter may meaningfully saw meaningful increases from the first quarter. We believe the second quarter has positioned the business well for further success as we enter the third quarter, which is traditionally a high demand quarter for the products. Revenues for the 6 months of the fiscal year to date were $14.4 million for the Natroba products. Additionally, the Natroba business generated gross profit of $6.6 million and gross margin of 86% when excluding noncash adjustments. As I had mentioned on our previous earnings calls, we have completed the acquisition of the business from legacy arrangements that were in place at the time of acquisition, the results of which continue to benefit the business in Q2 2025 with a strong gross margin result. As we previously outlined in our first quarter earnings call, our growth strategy related to Natroba continues to be fourfold. Number one, building the business in the U.S. where studies have shown permethrine-based products are no longer effective due to the resistance issues. Secondly, add complementary products to the U.S. sales platform through in-licensing, co-promote agreements or acquisition. Thirdly, launch Natroba in Canada through our existing Canadian infrastructure; and lastly, out-license the product globally as the resistance issues is not unique to North America, but rather a global issue. In the first area of our strategy, we announced during the quarter in April that the state of Illinois made Natroba the preferred product of choice given its one dose complete cure for scabies and whereby the incumbent treatment, permethrin 5% is now nonpreferred under Medicaid. We are continuing to work with various states to look -- to build upon this favorable development in Illinois as we have a large number of Medicaid reimbursement arrangements across the U.S. On the second prong of our strategy, adding complementary products to the U.S. sales platform, we are making progress in identifying these products and have entered into negotiations with a number of potential opportunities. With respect to the third area of our strategy, launching Natroba in Canada, during the second quarter, we continued to make progress on preparations for our submission to Health Canada for approval of Natroba. And based on these activities, we intend to make our new drug submission in the fourth quarter of 2025. We believe Natroba will fill an unmet need in Canada for a highly effective treatment of head lice and scabies, and we will continue to provide updates as developments occur with respect to the launching of Natroba in Canada. For the fourth area of our strategy, we are also continuing to pursue opportunities for Natroba globally, as we have mentioned in past earnings calls. We continue to believe there is a high unmet need for a highly effective product like Natroba to address lice and scabies indications in other territories globally with the product being particularly well suited for warm climate regions. As we have said previously, business development activities take time and may or may not come to realization as we believe it is important to find the right fit for out-licensing of Natroba. Therefore, we continue to exercise patience in this area of our strategy to ensure we are executing on opportunities that will provide growth for Cipher. As developments occur with respecting to out-licensing of Natroba globally, we will continue to provide updates. Turning now to our base business, consisting of the Canadian product portfolio and the U.S. licensing portfolio. Revenues and earnings were higher than a year ago, and the business continues to deliver reliable results and cash generation. Total revenues of $5.6 million from our base business of Canadian product revenue and U.S. licensing revenue were $0.3 million or 6% higher than the second quarter of 2025 -- sorry, 2024. Growth in our Canadian base product sales were partially offset by declines in licensing revenue. As Ryan Mailling will describe in more detail in his remarks, revenue from the Canadian product portfolio was $0.4 million or 12% higher -- sorry, $0.4 million or 12% higher than the same quarter a year ago. The U.S. licensing business experienced a decline of $0.1 million or 9%, contributed to by a lower royalty revenues resulting from lower sales volumes and net revenues realized by our licensing partner due to generic competition, including new generic entrants to the market associated with the products in the U.S., which was combined with lower royalty rates. The decline in licensing revenue associated with royalties was partially offset by increased shipments in the quarter compared to the same quarter last year as Cipher earns revenue from supplying products to our distribution partners. Adjusted EBITDA from the base business was $3.2 million for the second quarter of 2025, an increase of 4% from the same quarter last year and continues to be a reliable source of cash flow. I also want to highlight our total adjusted EBITDA of $7.6 million for the second quarter of 2025 and $13.8 million for the year- to-date. Included in the adjusted EBITDA for the year-to-date are onetime legal costs of $1.2 million associated with defending our product portfolio through a contractual arbitration process. We continue to await a decision from the arbitrator. However, we believe it was prudent to defend our base business through the contractual mechanisms available to us and await the outcome of this process. Lastly, as our operations continue to be a reliable source of cash generation, we will further demonstrate our track record of strong capital allocation going forward. Consistent with our existing approach to managing capital and our business strategy, we will be using our available cash as well as future cash generated from the business and a balanced approach in the following areas: Number one, repurchases of our common share through our normal course issuer bid; secondly, repay portions of the debt outstanding on our revolving credit facility and continue to focus on accretive acquisitions to deliver strong shareholder returns. Finally, I'd like to highlight that we remain very active in continuing to pursue other strategic business development opportunities with a particular focus on U.S.-based opportunities, including acquiring or in-licensing products that are complementary to our existing portfolio and company acquisitions that are either accretive or that have a specific strategic purpose. We continue to be focused on identifying, evaluating and pursuing various business development opportunities, and we are in active discussions with various partners. However, as we have said before, these discussions do take time, and the opportunities may or may not come to realization, but we will continue to provide updates as developments occur. We will continue to be selective in our approach to pursuing these opportunities to ensure that we are executing on the right opportunities as we successfully demonstrated with our Natroba acquisition only a year ago. Thank you again for joining us today, and I look forward to answering your questions after our prepared remarks. I will now pass the call over to our CFO, Ryan Mailling. Please go ahead, Ryan.
Ryan Mailling: Thanks, Craig, and good morning, everyone. As Craig mentioned at the beginning of today's call, all amounts provided are expressed in U.S. dollars, unless otherwise noted. Today, Cipher Pharmaceuticals is reporting results from the company's second quarter and year-to-date 2025, the 3- and 6-month periods ended June 30, 2025. Total net revenue for the 3- and 6-month periods ended June 30, 2025, was $13.4 million and $25.4 million, respectively. Net revenue for the second quarter of 2025 increased by $8.1 million or 152% compared to the same quarter in the prior year. Net revenue for the 6-month period ended June 30, 2025, increased by $14.2 million or 127% over the same period in 2024. The increases were largely attributable to the addition of the Natroba business at the end of July 2024, combined with increased revenue from our Canadian product portfolio in the current year. Product revenue from the Natroba business, which is comprised of the brand Natroba and its authorized generic spinosad, was $7.8 million and $14.4 million, respectively, for the 3- and 6-month periods ended June 30, 2025, representing a significant portion of the total increase in product revenue, as I just described. Product revenue from the Canadian product portfolio for the second quarter and 6 months ended June 30, 2025, was $4.1 million and $8.7 million, respectively. Canadian product portfolio revenue of $4.1 million increased by $0.4 million or 12% for the second quarter of 2025 compared to $3.7 million in the second quarter of 2024. For the 6 months ended June 30, 2025, product revenue for the Canadian portfolio of $8.7 million represented an increase of $1.7 million or 26% compared to $7 million in the same period of the prior year. Additionally, as the sales for our Canadian product portfolio are denominated in Canadian dollars, when translated on a constant currency basis, Canadian product portfolio revenue for the 6 months ended June 30, 2025, was impacted by changes in the U.S. dollar relative to the Canadian dollar. The impact was nominal for the second quarter of 2025. When translated on a constant currency basis, Canadian product portfolio revenue increased by $2 million, representing an increase of 30% over the 6 months ended June 30, 2024. The products comprising our Canadian portfolio -- product portfolio benefited from increased sales volumes for the 3 and 6 months ended June 30, 2025, compared to the same periods in the prior year contributing to the overall increase in revenue. Moving on to our U.S. licensing revenue. Total licensing revenue for the 3 and 6 months ended June 30, 2025, was $1.5 million and $2.2 million, respectively. Licensing revenue decreased by $0.1 million and $2 million, respectively, for the second quarter and 6 months ended June 30, 2025, compared to the same periods in 2024. The overall licensing revenue of $1.5 million for the second quarter of 2025 represented a 9% decrease compared to $1.6 million in the same quarter of 2024. The decrease is due to the Absorica portfolio in the U.S., which contributed $1 million of licensing revenue in the second quarter of 2025, a decrease of $0.1 million when compared to $1.1 million of revenue for the same quarter in 2024. The decline in the Absorica portfolio licensing revenue resulted from lower royalty revenue contributed to by lower sales volumes and net sales realized by our distribution partner on which Cipher earns a net sales royalty, combined with lower contractual royalty rates year-over-year. However, the decrease in royalty revenue on the Absorica portfolio was partially offset by higher product shipments by $0.4 million during the second quarter of 2025 compared to the same quarter last year, whereby we earned revenue from supplying product to the distribution partner. Overall licensing revenue for the 6 months ended June 30, 2025, was $2.2 million compared to $4.2 million for the same period in the prior year, representing a 48% decrease. The decrease for the 6 months ended June 30, 2025, was contributed to by the Absorica portfolio and Lipofen, including its authorized generic. Licensing revenue from Absorica was $1.3 million for the 6 months ended June 30, 2025, a decrease of $1.7 million or 56% when compared to the same period in the prior year. Revenue from Absorica for the 6-month period was impacted by a year-over-year decline in product shipments on which we earn revenue from supplying the product to our partner. The decline in the Absorica portfolio licensing revenue for the 6 months ended June 30, 2025, was also impacted by lower royalty revenue contributed to by lower sales volumes and net sales realized by our distribution partner on which we earn a net sales royalty. This was further contributed to by lower contractual royalty rates year-over-year. Market share for Absorica and the authorized generic of Absorica was 3% at June 30, 2025, according to Symphony Health market data, representing a decrease of 3.4% compared to 6.4% at June 30, 2024. Licensing revenue from Lipofen and the authorized generic was $0.8 million for the 6 months ended June 30, 2025, representing a decrease of $0.3 million compared to the same period in the prior year. Selling, general and administrative expenses for the 3 and 6 months ended June 30, 2025, were $4.1 million and $9 million, respectively. Selling, general and administrative expenses for the second quarter of 2025 of $4.1 million represented an increase of $2.5 million compared to the same quarter in the prior year. The increase was primarily attributable to the incremental selling, general and administrative expenses from the acquired Natroba business. Selling, general and administrative expenses for the 6 months ended June 30, 2025, of $9 million increased by $5.9 million compared to the same period in the prior year. Increase is attributable to the additional selling, general and administrative expenses from the acquired Natroba business of $4.8 million as well as $1.2 million in onetime legal costs associated with defending our product through a contractual arbitration process. Net income for the 3 months ended June 30, 2025, was $5.9 million or $0.22 per diluted common share compared to $3 million or $0.12 per diluted common share for the same period in the prior year. Net income for the 6 months ended June 30, 2025, was $8.5 million or $0.32 per diluted common share compared to $7.9 million or $0.32 per diluted common share for the same period in 2024. Net income for the 6 months ended June 30, 2025, was adversely impacted by the previously mentioned $1.2 million in onetime legal costs associated with the contractual arbitration process as well as $0.8 million of noncash fair value adjustments associated with inventory acquired in the Natroba acquisition that were recognized in cost of products sold during the period. Adjusted EBITDA for the 3 and 6 months period ended June 30, 2025, was $7.6 million and $13.8 million, respectively, compared to the $3.1 million and $6.6 million, respectively, for the same period ended June 30, 2024. This represents an increase of 148% and 108%, respectively, for the second quarter and 6 months ended June 30, 2025, when compared to the same periods in 2024. The increase in adjusted EBITDA was mainly driven by the previously mentioned addition of the Natroba business and growth of our Canadian product portfolio, which is partially offset by declines experienced in our U.S. licensing revenue. The company had $11.3 million in cash and $25 million in debt as of the end of the second quarter of 2025. The company continues to generate meaningful free cash flow from operations with $6 million in operating cash flow during the second quarter of 2025 and $10.2 million generated from operations for the 6 months ended June 30, 2025. During the second quarter of 2025, Cipher allocated $15 million of its accumulated cash to make a repayment on its revolving credit facility and utilized an additional $2.1 million of accumulated cash for repurchases of common shares under our normal course issuer bid. Subsequent to the second quarter of 2025, on August 6, 2025, Cipher further allocated a portion of the cash that has accumulated from free cash flows to make an additional repayment of $7 million on the outstanding balance of our revolving credit facility. Accordingly, after making this payment, the company now has a reduced debt balance of $18 million outstanding on its revolving credit facility. With the strong performance from Cipher's Natroba business, combined with Cipher's base business, particularly its Canadian product portfolio performing well, the overall business continues to have meaningful cash generation. During and subsequent to the quarter, we demonstrated effective allocations of our capital returning capital to shareholders through the normal course issuer bid and further delevering the balance sheet with 2 debt repayments totaling $22 million. We also retained the availability of financing due to the revolving nature of our credit facility, whereby after making these debt repayments, Cipher has $47 million of financing available plus a $25 million accordion option, which in total is $72 million of total potential financing available. Accordingly, with Cipher's strong cash generation from operations and available financing, the company continues to be well positioned to execute on further growth opportunities to provide further value for our shareholders. We'll now open the call up to questions.
Operator: [Operator Instructions] Your first question comes from Andre Uddin with Research Capital.
Andre Uddin: Congrats on the quarter. I have a few questions. Do you know what the annual sales of permethrin are in Canada roughly?
Bryan Jacobs: Andre, it's Bryan. I don't -- we haven't really done an analysis on permethrin, obviously, because it's a generic product, the sales level of it, we don't believe would necessarily be indicative of what we would be able to take once we bring Natroba to Canada.
Andre Uddin: That's fair enough. You also mentioned on some of this on the call, but how are your out-licensing discussions going for Natroba? And I know it's always hard to predict business development, but do you think we should begin to expect these out-licensing agreements in 2026?
Craig J. Mull: That's possible, Andre. It's Craig here. We've got lots of interested parties. I think the main issue there is what can we sell the product for in other jurisdictions. And that's something has been a lot of -- we've had a lot of focus on. We're also monitoring what is going on with the Trump administration's plan or discussions around most favored nation pricing. So we don't want to get trapped into that by entering into an agreement where we're selling the product substantially lower price in another country and then being subject to this nation concept. So things are going well. We definitely have lots of interest from various countries and a number of different pharmaceuticals that specialize in this area. And I would say that it's likely that we will have an agreement in place by the end of 2026.
Andre Uddin: And you also mentioned a little bit of this on the call, but if you could just elaborate a little bit more outside of Illinois, how are the preferred step through status discussions going for Medicaid in terms of Natroba.
Bryan Jacobs: Andre, usually, we get the opportunity to get in front of each state Medicaid. I think as you're aware, the way that, that is administered on a state-by-state basis, and they have the term they call you've seen one Medicaid plan in a state, you've seen one Medicaid plan. So they all operate differently. Our best opportunity to have that discussion with them is when the contracts come up for bid, a renewal. So most of them will -- typically, they come up for renewal annual or biannual. So it's at that time that we submit it. And here's an example of a strategy as you try and renew the -- you work with them to renew the contract. There's sizable volume and demand for the product in the state, so they want to keep it on. Clearly, we would negotiate a price increase or some type of an increase. They try and cram down on that increase. So one of the areas that we're giving an opportunity is saying, well, here would be your price, call it on a normal bid renewal, but also here's your price if you want to consider making our product the single preferred on the formulary like Illinois. So that's how we're going about that strategy. So it's not just as easy as kind of, I want to say, just kind of knocking on the door to ask about it. The best time to do it is in the bid renewal process.
Craig J. Mull: Andre, just back to your first question about the size of the market for permethrin in Canada. In Canada, both 1% and 5% permethrin are OTC products. And they're difficult to -- it's difficult to get that type of data on these products because they're OTC. But from our estimates, the market is probably in the range of CAD 10 million.
Operator: Your next question comes from Doug Loe with Leede Financial.
Douglas W. Loe: Congratulations on the strong EBITDA quarter and the [indiscernible] the quarter. I just want to follow up on Andre's line of question about your preferred drug listing status across the U.S. Illinois is one of 50 states. And presumably, you could pursue a similar listing in the other 49 states. But just if you could just kind of quantify what the lift in the Natroba revenue could be from seeking out such listings in other states. I mean, for example, we're not actually aware of what other states you might already have preferred drug listing already in place. So maybe just kind of quantify what the potential revenue opportunity could be from sort of enhancing your Medicaid reimbursement status in comparison to what it currently is across the entire national platform.
Bryan Jacobs: Thanks, Doug. Thanks for the question and for calling in today. The way that I would approach the question is it's less of a kind of on a state-by-state basis. But if you say the market has got, call it, 1/3 of it, call it, 30% is Medicaid. And then what is 5% permethrin have, it's probably the 5% permethrin's total market share at the 30%, and then that would be nationwide. And then as we add then states moving them off of the preferred versus nonpreferred based on the relative size of the state, that's probably the way I think about or quantifying it. I think there's -- we've put out there what our market share versus 5% permethrin's market share is.
Douglas W. Loe: Yes. Fair enough. Okay. That's good context. And then shifting gears a little bit to your existing pipeline independent of future in- licensing deals. I mean we certainly noticed during your last month and the last conference call that Can-Fite now has capital to fund a pivotal Phase III plaque psoriasis trial with piclidenoson and the details for that trial are now in the public domain. Just wondered if you had any recent conversations with Can-Fite and how that -- what the status of that trial is. We haven't seen them announce their first patient enrolled or anything, time lines to data sort of mid- to late 2028. I just wondered if that public information conforms with your notions based on conversations with them.
Craig J. Mull: Yes. We haven't got a lot of information on how the existing trial is going. And I know that we have another call scheduled next week with them. We believe it's going quite well. I mean we were quite surprised to see them raise that type of money. I think it was in the range of $75 million, if I'm correct. So I think that they've got the funds to complete the work that they need to do. We hope to get a more wholesome update this coming week.
Operator: Your next question comes from Justin Keywood with Stifel.
Justin Keywood: Exceptional quarter and nice to see the integration activities start to pay off. So just on the Natroba market share, 25% versus the incumbent 75%. I believe that's been relatively stable. I realize the integration activities are pretty early, but has there been any market share gains? And how should we look at that going into next year?
Bryan Jacobs: It's been pretty steady, you're right, Justin. So I mean, a lot of it was we integrated the business, focused in a lot of making sure that we renew state Medicaid, like I was -- we were talking about with the other questions. And we've had the ability to negotiate on price. So we have had some price benefits. I still see us being able to get -- there's more opportunities ahead of us on pricing. An example is that the products haven't had any price increases for -- historically for a period of time, and we think that there's some opportunity there. That's going to be limited by some of the contractual arrangements with Medicaid. You can't -- those are set. So one of the areas I would say is we do plan on taking market share and gaining market share from a volume perspective. So I think in the single digits is achievable, but we also have that lever on price where it's kind of unusual when you acquire a product that hasn't seen price increases over a period of time. A lot of times, a seller will actually pump out price just before they offload it in order to make it look good, whereas we actually -- that didn't occur with our product, and we have some opportunity there. So there's a couple of levers there.
Justin Keywood: Understand. A few dynamics to consider. Have you -- has there been any type of analysis on potentially increasing sales and marketing to increase the market share and what that ROI could be? Or is it still early on in the integration activities?
Bryan Jacobs: Yes. The -- in full transparency, one of the things that we're taking a look at is trying to think about the business model. So it has what you call a bit of a traditional model where we have sales reps, both outside and inside reps managing a lot of, call it, business development and growth. We also think that there's other avenues to go to market, such as quite clearly, for a head lice product, a lot of your competition are pharmacy aisle, OTC type products. So we see an area where we can invest in a bit of a direct-to-consumer channel. And that's going to be something that, obviously, if you do that, it's a bit a lot more measurable from an ROI perspective. You always ask the very -- it's always a difficult question because sometimes when you invest in a marketing activity, the ROI -- trying to figure out the ROI on that is very difficult, whereas this one, we would be able to measure very tightly. So for example, if you had a platform that your people out there or struggling families need to get our product quickly. We have a channel that can distribute that, say, online, you're able to measure how many click-throughs, how many people come through your system, what's your ROI on that. So that's something that we're going to be taking a look at in order to contribute to our growth in the future because we think it just makes sense based on the nature of the product and the acute nature because when you need it, you really -- you need it desperately.
Craig J. Mull: And just to add, Justin, to Bryan's comments, the company really and the product has an overall market share of about 25%, as you indicated in the antiparasitic market. But if you drill down a little further, we have a much higher percentage of the head lice market but a relatively low percentage of the scabies market. And that's an area that we've focused on. We think that we can increase the share in that particular category significantly. And to do that, we need to make sure that we have good Medicare coverage. And Bryan and his team has been working hard on that. And I think it will open up what effectively is a new -- relatively new market for Natroba.
Justin Keywood: Absolutely. Lots of levers to potentially pull there. Just moving on to capital allocation, very strong deleveraging in the quarter and subsequent. Just with the balance sheet where it is, are you able to describe the capital allocation priorities via M&A, share buybacks or further debt repayment?
Craig J. Mull: Yes. Just I'll add something, then Ryan, you can add as well. Yes, we're generating a lot of cash. We have this $65 million revolver in place that we can access at any time. So without an acquisition that is close like near term, we felt it best to pay down debt, reduce our interest expense, still have the availability of the $65 million to draw upon at any time. Obviously, our top priority is acquisition which would involve in-licensing as well. And beyond that, we've got kind of a balanced approach of buying back stock through the NCIB or through bulk purchases and paying down our debt. And I think that we'll continue to do that the right acquisition comes along, we will draw on the $65 million. And if we need additional financing, we'll seek that out at that time.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call over to Craig Mull for closing remarks.
Craig J. Mull: Thank you. I'd like to take this opportunity to thank our U.S. team, led by Bryan Jacobs, our U.S. President, for great performance this quarter. Congratulations and much appreciated. Please keep up the good work. We look forward to reporting our next quarter and our continued progress in meeting Cipher's objectives. Thanks for joining us today.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for participating and ask that you please disconnect your lines.